Operator: Ladies and gentlemen, thank you for standing-by. Welcome to the Methanex Corporation’s Third Quarter 2014 Results Conference Call. I'd like to turn the conference over to Ms. Sandra Daycock, Director of Investor Relations. Please go ahead Ms. Daycock.
Sandra Daycock: Thank you. Good morning, ladies and gentlemen. Welcome to our third quarter 2014 results conference call. Our 2014 third quarter report along with presentation slides summarizing the Q3 results can be accessed at our Web site at www.methanex.com. I would like to remind our listeners that our comments and answers to your questions today may contain forward-looking information. This information by its nature is subject to risks and uncertainties that may cause the stated outcome to differ materially from the actual outcome. Certain material factors or assumptions were applied in drawing the conclusions or making the forecast or projections, which are included in the forward-looking information. Please refer to our latest MD&A and to our 2013 Annual Report for more information. For clarification, any references to EBITDA, cash flow or income made in today’s remarks reflect our 63.1% economic interest in the Atlas facility and our proportionate economic interest in the Egypt facility. On December 9, 2013, we completed the sale of a 10% equity interest in the Egypt facility and our proportionate interest in the facility was 60% prior to that date and 50% thereafter. In addition, we reported our adjusted EBITDA and adjusted net income to exclude the mark-to-market impact on share-based compensation and other non-operating items. We report our results in this way to make them a better measure of the underlying operating performance and we encourage analysts covering the company to report their estimates in this manner. I would now like to turn over the call over to Methanex’s President and CEO, Mr. John Floren, for his comments and a question-and-answer period. John?
John Floren: Thank you, Sandra. Our third quarter results were very solid. We generated a $137 million in adjusted EBITDA and recorded adjusted earnings per share of $0.69. Contract methanol prices held steady over the quarter, trending upward leading into Q4. Demand from ethanol grew about 3% from Q2 levels with a bulk of this growth stemming from two new MTO plant startups in China. We continue to see about six new merchant MTO plans on their horizon through the end of 2015 with combined annual capacity to consumer over 9 million tonnes of merchant methanol. We expect MTO demand to remain strong in Q4 with a startup of one new facility and pre purchasing of methanol from companies that will be starting up in 2015. In the wake of the continued move in oil prices over the past several weeks, there has been considerable focus on the correlation between methanol and oil pricing. The use of methanol as a substitute petroleum derived products in energy applications has being one of the main drivers of growth in our industry. While there is a historical correlation between methanol and oil prices, this correlation is indirect through the price of end use products such as gasoline, olefins and propane. At today's prices for these end use products, methanol continues to be a competitive substitute and we have not seen any marked impact on methanol prices from lower oil prices. In the quarter, we returned a $110 million in cash to shareholders. We distributed $23 million through dividends and repurchased approximately 1.3 million common shares representing $87 million of cash under the normal course issuer bid. The shares we purchased through September 30, 2014, represents approximately 56% of the total shares approved to be purchased. As a result of the stable pricing environment experience in Q3, there was minimal net impact related to timing of inventory flows on margins from produced and purchased product. Further the discount between posted and realized prices improved in Q3 as forecasted on our last call. Our New Zealand plants continue to run at very high rates 2.38 million tonnes annualized or 99% during Q3. We started receiving high CO2 gas in May and we are currently looking to secure additional high CO2 gas. We continue to experience gas restrictions in Trinidad, the plans operate at an average combined rate of 84% in Q3 and most of the production interruptions were gas related. The Egypt operating rate was 32% in Q3 as a result of the extended outage for most of the summer peak electricity demand period. The plant resumed operations in mid-August. It is difficult to give guidance on production rates in Egypt at this time. All though we are optimistic that we will be able to run at higher rates on average that we achieved during the first nine months of 2014. We continue to make excellent progress on our Geismar projects. Our two Geismar plants will be first classed assets and are expected to generate significant EBITDA over the coming years. A major milestone was achieved in September when all major equipment including the Geismar 2 reformer arrived on the site. This milestone was a significant de-risking event for the project and has allowed us to firm up our schedule. We continue to expect the completion of the construction of Geismar 1 by the end of this year with first methanol production in January 2015. The Geismar 2 plant is on track for late Q1 2016 start up. We have also revisited the amount of capital required to complete the Geismar projects on schedule in light of the escalating wage pressure and lower labor productivity we are experiencing in Louisiana. The total cost of projects was originally budgeted at $1.1 billion and we are now estimating the projects will cost approximately 25% to 30% more than the initial budget. We believe that even with a higher capital cost that these two plants will be built for significantly less capital than a Greenfield or Brownfield project. We have placed priority on project schedule and the amount of time from the startup of the project to first methanol is significantly reduced relative to a new built plant, allowing us to start generating our capital back in the coming months. I will now stop there and take some questions.
Operator: Thank you. [Operator Instructions]. And your first question is from Steve Hansen from Raymond James. Please go ahead.
Steve Hansen - Raymond James: Just a quick question on the Trinidad gas situation and how you see that evolving going forward, there have been some reports about improving I guess operation capabilities in the upstream there and I am just trying to get a sense whether you guys are getting any visibility on higher rates perhaps I guess in '15 and '16, you've already given guidance for the back half of this year?
John Floren: Yes, it's difficult -- I was just down in Trinidad, Steve, so I would agree there are new fields being tied in or new product being tied in but we still have depletion. So I think for the next few years, we are going to continue to have restrictions in Trinidad. But it’s really difficult to give guidance. I think 20% is at the high end I would expect things to improve, but it’s really difficult to predict.
Steve Hansen - Raymond James: Okay fair enough. And just one follow up if I may on sort of the derivative impacts at the Geismar facility, how do you feel about the pace of the CapEx inflation. I am just trying to get a sense for whether it's accelerating or stabilizing in the broader context, just as we think about other facilities it might be [contemplating] getting started on a Greenfield site?
John Floren : Well it’s definitely accelerating, I've got in front of me here and [ISAIS] list of projects in the U.S. petrochemical industry between now and 2018. There is 58 projects on this list and the bulk of them are going to be in the construction period between 2016 and '17, representing over a $100 billion in planned investment. So I believe we are still ahead of the curve and in the reforecast of the budget for including the G2 or Geismar 2, we have taken into account and anticipate further inflation in labor. And productivity you will see we are adding a few months into the schedule versus what we completed on the first project because we think the productivity issues are going to continue to be a challenged over the next two to three years.
Steve Hansen - Raymond James: Okay, very helpful. Thank you I will jump back in the queue.
Operator: Thank you. The next question is from Joel Jackson - BMO Capital Markets.
Joel Jackson - BMO Capital Markets: Hi good morning. First question is just on LPG prices and DME in China so we've seen LPG prices had taken a big step, down benchmark pricing for November. Just what your sense is on DME here as we are getting into the season for it. If you would see maybe even non-integrated DME production shutting down and hurting your methanol demand a little bit there?
John Floren: No we haven't seen that Joel, or I could have seen DME rates -- as you mentioned in this time of the year being quite robust. It's difficult to predict the future but at current prices for methanol and current prices for propane, methanol continues to be used quite a lot for DME production.
Joel Jackson - BMO Capital Markets: Okay. And switching to North America, are you able to raise your methanol price in November a little bit in your contract pricing. We did see North America -- excuse me, U.S. Gulf spot pricing fall across October. If you could give a little more color on your confidence on able to raise the price a little bit in North America. Thanks.
John Floren: So when we raise the price like we've said before we don't do it for month, we look at what we see the supply demand balance out for a number of months. So I think its public information that both Lyondell and OCI are going to have outages in the coming months, OCI for a big turnaround and Lyondell announced in their call that they are having some production issues with their facility and have to take it down as well. So we look out a few months and with a supply-demand balance in the Atlantic basin and we are pretty comfortable in raising prices for November.
Operator: Thank you. The next question is from Jacob Bout from CIBC. Please go ahead.
Jacob Bout - CIBC : Good afternoon. Can you talk a little bit about your thoughts now about moving a third plant from Chile? And if you were to move that to Geismar, what do you think the cost would be today and is there chance or would you look out to possibly moving this to New Zealand?
John Floren: So I think as I mentioned a few couple of questions ago, we see a really, really tough construction market in that 2016-'17 period. So we still have a team looking at possible relocation of a third plant I'd say moving it -- by making the decision to move it safe starting 2015 or '16 would be too difficult bracket for us right now. So we will see how these projects evolve, we will see how many of them actually go forward, we will watch the construction labor market, we are in that market obviously through the bulk of 2015 and we will have our project ready to execute if and when we think the construction labor availability and cost will allow us to do it at any reasonable price. It would be just a guess if I gave you a price today, so I don’t like to guess. So if we do we will have to have some sort of view on what the labor market availability and price will be. New Zealand, this interesting the New Zealand gas reserves were just predetermined there and upped by about third versus the gas reserve projections in 2013. Having said that, I think we need to see a fairly significant find of additional gas and there is drilling happening in the Maui basin by Shell so that's not impossible. But based on the current supply-demand balance of gas, we’re certainly going to run those three plants there for longer than we thought this time last year. And having those three plants a little longer run like -- based on the current gas is better than thinking about putting new capital there, so if there is a lot work happening in the South Island in New Zealand as well for oil and gas exploration we love to have more production in New Zealand, but I think it’s a bit premature to be thinking about that right now.
Jacob Bout - CIBC : Maybe just a follow-up here, what’s your thought now on your total CapEx spend in 2015?
John Floren: I don’t have the number off the top of my head, but we probably spend order of magnitude $130 million other than the Geismar, but I can get you the exact number off line Jacob.
Operator: Thank you. Your next question is from Hassan Ahmed from Alembic Global. Please go ahead.
Hassan Ahmed - Alembic Global: I know you mentioned the startup of some MTO facilities in China. Obviously, crude oil prices coming down a lot of focus on NAPSA based specially in economics in China improving quite dramatically. So my question is I mean I would imagine that it is the 2015 MTO facilities still come on line, but are you hearing anything about the long-term MTO facilities being reconsidered in light of these sort of lower NAPSA price environment?
John Floren: Well, what we have visibility on is the 9 million tonnes I mentioned that’s under construction in addition to the 5 that’s operating today. Those will be completed and will they run? We believe they will run. How hard they will run? This probably somewhat determined on methanol pricing but it’s more determined with them on what their relative substitute that they’re marking with the MTO. So it’s not just NAPSA to methanol, we have to watch ethylene glycol, ethylene oxide, EET, et cetera. Because a lot of these projects are backward integrated to something they’re already doing. So, I think it’s difficult again to predict the future of pricing for a number of these commodities. But as current prices per methanol and the current affordability, there is quite a bit of room still to those projects to run at high rates and generates significant EBITDA.
Hassan Ahmed - Alembic Global: Grate and I’ve been reading some articles over the last couple of weeks about bloated inventory levels particularly in China, where do you see inventory levels be it China or just globally?
John Floren: I’ll remind you that the demand in China is at an all-time high, so we need a bit more inventory. And I think the days of inventory haven’t changed, so around I believe on the coast 800,000 tonnes 24 days-23 days, that’s not a lot of inventory, think when you look around the world a more normal inventory level is probably in the 40 days to 45 days. So I think yes the absolute numbers higher than it has been, but we’re adding significant amount of demand. So we need higher inventory.
Hassan Ahmed - Alembic Global: Fair enough and one final one, if I may, obviously Geismar 1 and 2 now on track, as we sort of march closer to the startup of Geismar 1, what is your updated thoughts about potential MLP?
John Floren: We’re continuing to look at that Hassan and again we don’t have to make a decision on that for sometime next year, so nothing is really changed in our thinking. So we’ll continue to look at it. I read somewhere that maybe the private letter rulings at moratorium has been lifted, which is a positive. But we’re continuing talk to a lot of different people on this issue to understand if it’s long-term value generation for our shareholder base and we’ll make decisions like I said sometime in the first quarter next year.
Operator: Thank you. (Operator Instructions) And the next question is from Daniel Jester form Citi. Please go ahead.
Daniel Jester - Citi: So you said that most of the demand improvement you saw in the third quarter was due to the MTO plant startup, maybe you could talk a little bit about what you’re seeing on the demand side for some of more traditional chemical markets?
John Floren: We’re seeing again not a lot of drop in demand. We’re seeing solid demand pretty well across the board. Obviously, the GDP numbers around the world are not as good on the forecast or even as good as they were. Europe is certainly softer and as well written that China is softer on the traditional demand as well. So the latest GDP numbers I’ve seen 2% to 3% growth globally and that’s what you see to expect on the normal chemical derivative. They track industrial production in GDP growth.
Daniel Jester - Citi: Okay and then on just coming back to Geismar and inflation that you saw there, based on what you’re seeing for cost is the $1000 per time Greenfield estimate that you’ve talked about in the past. Do you have any update as to where you think a reasonable assumption for that should be?
John Floren: Unfortunately, you won't know if they actually build plan, because you don't get a lump-sum turnkey today. So you’re on a time and material base, we know how man-hours it takes to build a plant. So 5 million to 6 million man hours, so if you have a $10 increase on the labor component, $50 million to $60 million I will remind you that we are also experiencing very high daily per diems. So lot of -- more than half of the workers on our project are getting daily per diems which adds to the labor rate as well. And then the productivity is even the bigger issue, U.S. used to be the benchmark for productivity and that's long gone, it's now Korea. U.S. is actually Korea plus now on productivity numbers. So again I can't predict the future but I would be very, very reluctant to be committing any significant capital to building anything in the United States in the coming years.
Operator: Thank you. The next question is from Ben Isaacson from Scotiabank. Please go ahead.
Ben Isaacson - Scotiabank: Hi, John. I have two questions. My first one is on methanol price volatility. We've seen gas prices in China rise for I guess non-fertilizer industrial users and we've seen core prices fall which tells me that the cost group is really steepened in roughly the same spot where demand sits. Would you therefore characterize the markets as potentially having sharper spikes up and down as demand moves around? And if so how do you manage that volatility in price?
John Floren: I actually think we are going to see less volatility going forward than we have in the past. We had the methanol price reduce quite a bit in the early second quarter of this year and we saw it fall through the cost curve including coal. Coal hasn't changed much in price since that time and then we saw it rebound around the current levels of RMB350 for Chinese product and that's where we have been sitting plus or minus a few RMB. I think also on the upside because of the affordability related to the relative substitutes for DME for example and MTO there is probably a bit of a sealing as well. I am very happy with the current price. If I could get the current price for the next 10 years, I'd be even happier. So I think we are in a very nice band from methanol.
Ben Isaacson - Scotiabank: And my follow up is we here about planned and unplanned outages all the time and of course the price will tend to adjust accordingly in the short term. But based on your experience can you talk about average level of outages and is there seasonality to these outages and when do we see more and when do we see less, at least on the plant side?
John Floren: Again I am terrible at predicting the future. I know in our plant, planned outages are every three to four years for major turnaround as we call it depending on the technology, depending on the plant. So I think of you took the average plant around the world on a normal basis they should be shut down for 30 to 45 days every three to four years. The unplanned stuff, really hard to predict. A lot of these plants are older or haven't been maintained or maybe have inexperienced operators and there is a lots of gas issues. So it's impossible I can tell you what we look at it, in the couple of years and then plug that number going forward. So as we saw in Q2 of this year, the industry operated way better than it has in a number of years in Q3 with back to where it was. So I think it's really hard to predict the operating rates on an unplanned basis.
Ben Isaacson - Scotiabank: Sorry John, I guess what meant is on a kind of seasonal annual basis. Do we tend to see more planned out as it is occurring in the winter when there is a demand low or is it generally steady throughout the year?
John Floren: I think you are right to point out that in the winter we see less supply but I think that's more gas related winter timed in the Northern Hemisphere. Gas is used more for heating and electricity like in places like Iran. So I would expect that trend to continue where in the winter months, the actual operating rates are lower. And maybe they schedule their turnarounds in that time because they won't have gas as well, but I think in the winter gas is an issue.
Operator: Thank you. The next question is from Laurence Alexander from Jefferies. Please go ahead.
George D'Angelo - Jefferies : Hi this is George D'Angelo sitting in for Laurence today. John I've heard by EPA approval of biogas to DME as part of the U.S. RFS. What implications do you think that might have for the industry?
John Floren: When DME was first talked about as an energy product, the big use was going to be to replace diesel and I think that's the future of DME. I mean the quick and easy win is to replace propane at 20% substitute based on economics where you don't have to change the cylinders or the burner caps or anything. So that's what we are seeing today. I think the future of DME is diesel substituting, high [C10], great power for long haul trucks which is better. Obviously CNG doesn't have those same characteristics and then very low polluting versus diesel. So I know Volvo has got a big program on trucks -- long haul trucks, heavy duty trucks with safe way in the U.S. and I would not be surprised to see DME commercialized as a substitute for diesel in the U.S. and other places around the world in the coming years.
George D'Angelo - Jefferies : Okay, thanks. Just a follow up. Any additional commentary around adding capacity around Medicine Hat in it?
John Floren: Yes. So we have a team working on that I think I mentioned the capital cost, we looked at on the initial blush were pretty tough but we are looking right now to have a partner for that project. I think I mentioned that we'd like to have somebody that could maybe bring gas to the equation and take some methanol and maybe take about half of the capital equity, so the project would be a bit smaller for us to execute. The team working on that, I think it's similar to what we said in U.S. maybe not quite to the same degree, but depends on your view of these LNG products on the coast are they going to go forward. Oil pricing certainly going to have an impact on the oil sands activity and expansion and there may be a time if we have a project that’s on the shelf with a preceding feed ready to go that we can execute a Medicine Hat too it and that’s what we’re working towards.
Operator:  Thank you. The next question is from Robert Kwan from RBC Capital Markets. Please go ahead.
Robert Kwan - RBC Capital Markets: Good morning. Just coming back to the new Geismar cost, I am wondering how much contingency is in the new number?
John Floren:  Yeah, what we’ve done Robert, I have been pretty clear on that, when I wanted -- when I gave a new number, I didn’t want to have to give another new number. So, we built in different forms of contingency including labor escalation. I think if you look at the schedule from Lyondell, the reformer is on site versus G1, we built in some additional time to complete. So therefore we have some flexibility in the number of workers on site. The more workers on site the less productivity you have just in general and we built other contingencies, but I think we’ve also learned a lot from G1 -- Geismar 1 and I think I see those learnings applied all the time, I was just down there for three days about 10 days ago and I am very, very impressed of what I see on the execution on the G2 from the learnings that we’ve had. So, as I can’t predict the future again, but I am very, very comfortable on the number that I given that we’ll be able to execute unless you see something totally different than what we’re expecting over the next 12 months.
Robert Kwan - RBC Capital Markets: So in respect there is a chance you can come in underneath 1.4?
John Floren:  I like the 1.4 number right now and I like to let's say under promise and over deliver.
Robert Kwan - RBC Capital Markets: Okay. just last year on Egypt you mentioned earlier that it's tough to give a guidance which I total understand, I just wanted to get a sense though is to what you’re seeing going around, is it still just prioritizing the gas, rather demand or is there something structural related that’s going on to your plan specifically?
John Floren:  I think we’ve been -- since we have come up, we’ve been running at good rates. I mean we’ve had great relationship with the Minister and the petroleum business in Egypt and we were working with them to come over a very difficult time because of what the country has been through and I would say every commitment that the Egyptian government and Ministers made to us has been lived up to and so it's going to be a difficult period like I’ve said and the difficulties will be more acute in their summer time when they have a higher demand for electricity. But I am pretty positive -- optimistic about some of the positive things I have seen in Egypt, that the country is much more stable, they are dealing with subsidies, they are paying the upstream, the future investments to the upstream are going to be higher than they have been in the last three years. So, it's going to take some time, but again I am optimistic when we think in the long-term that this will be a really good project for the company.
Operator:  Thank you. (Operator Instructions) and the next question is from Cherilyn Radbourne from TD Securities. Please go ahead.
Cherilyn Radbourne - TD Securities : Thanks very much and good morning. Just wondering if you could talk a bit about your discount rate in the quarter, it did improve sequentially is expected, but I was little surprise to see at approach levels, you last saw in the second half of last year when the market was considerably tighter?
John Floren: Yeah, so I said before when prices are going up our margin will compress, when prices are going down, our margin will expand. If you take out the volatility on average we were doing about 20% of our contracts on a global basis every year and in tight market conditions we are able to improve the margin. And I’ll remind you again we have fairly significant fix price contract coming off this quarter which will impact the margin as well. So, we do expect margins to improve going forward.
Cherilyn Radbourne - TD Securities: Okay, that’s helpful. Wonder also if you could just indicate what kind of a production response you have seen or expect to see in China as a result of the September increase in gas prices?
John Floren: Well, we’ve seen some of the gas plants reduce rates and then come back. I think the challenge for those plants in China is if they shut down on a more permanent basis they may never, ever get gas again. So, I think they are hopeful that this demand that’s coming for MTO will allow them to operate on a longer-term basis, but I think it's pretty tough speaking of running a methanol business on $10 gas, on any sustainable basis. So, the country itself, the government has been clear on the five year plan that they want to use gas for heating and electricity and not for chemicals. Again this is directional policy, it's not mandated but that’s what we see in every year with the past several years they have been increasing gas prices and the latest one as you pointed out is September. So, we would continue to expect that trend to go forward in the future.
Cherilyn Radbourne - TD Securities: Great. Thank you, that’s my clue.
Operator:  Thank you. The next question is from Charles Neivert from Cowen and Company. Please go ahead.
Charles Neivert - Cowen and Company: Good morning guys. One quick question, the plants you are bringing up from Chile sort of the pre mega methanol technology and the mega unit seems to have some maybe more dependability issues than other. Do you expect these things will run like the old plants did when they were in Chile? Is that they should run well and should that be -- I expect that we’ll see a significant improvement in your overall operating labor entities, both of them are up or even the first one is up, is that a reasonable way to look at things going forward, they should run the kind of dependability of the pre mega units?
John Floren: These are fantastic plants and they're both the same. And also as we train operators, they can go between the two plants. Obviously, as we moving these plants we’re taking the opportunity to improve and either the bottleneck or weakness that we might have seen in Chile, so our exception is these plants are going to run, and run really high rates and for a really long time because there is lots of gas and we’re buying utilities across the fence and we know how to run these things, so I am pretty excited that these are going to be some of our best assets in our entire portfolio.
Charles Neivert - Cowen and Company: I had look back at the Chile operating rate prior to the gas issues and they were exceptionally high, so I am expecting that is what should continue going forward.
John Floren: I would be very disappointed if we don’t have very high operating rates out of these plants.
Charles Neivert - Cowen and Company: And again getting back to the timing, I know this is sort of nitpicking a little bit but are we looking at production startup, I guess you’re going to go through commissioning and things like that in the fourth quarter, are we going to sort of get off a very early start? Are we’re looking at -- if there a significant proportion of the first quarter with real production rates or is it going to take a month before sort of full rate?
John Floren: Yes, we’re above 40% for the commissioning, so we have been commissioning since July. So I would just down there like I said talking with project team and their exception is, these things will start and they will run at very high rates, very quickly. But the problems we’ve had in the past with the commissioning I’ll remind when, we have our own utility our own steam or oxygen and that’s when we had delay in commissioning those types. All of this is across the fence. So we expect to start these things up and run them at a high rate pretty quickly.
Operator: Thank you. The next question is from Chris McDougall from Westlake Securities. Please go ahead.
Chris McDougall - Westlake Securities: I wanted a little bit color on modeling the Giesmar plant. As we right for those start up and I was thinking specifically around the freight rate expectations given that they will be in the U.S. with a lot of the demand? And then also state tax situation, I know Louisiana has a corporate income tax, but a lot of times there is some incentives from locating new facilities there and such?
John Floren: Yes. I'll let Ian answer the tax question and then I'll come back on the logistics.
Ian Cameron: Starting with the tax Christ, including federal and state taxes we think the all-in tax rate for Giesmar will be less than 40% sort of 38% - 39%. We have put in place some tax structure like we would normally do in these types of projects, which we think is very good. So we think that the overall effect of tax rate to the Company will be lower than. In terms of state incentives, there are some incentives. It’s part of developing these projects. They’re included as part of the capital cost of the project.
John Floren: You right to point out that the Giesmar 1 volume will all stay in the United States and we have significant business in the United States basically all on import products and we’ll move some of imported product to other markets. So we expect a net benefit on logistics as we start up Giesmar 1.
Chris McDougall - Westlake Securities: And then on the cost of setting up these new plants, we see a lot of press releases and kind of political announcements with prominent political folks about new methanol plant in the Gulf Coast and the places that they sort of quote are south of this $1,000 a tonne benchmark. Given that you guys are building one or relocating one, how do you square these announcements with thinking that $1,000 a tonne, has it hit the right benchmark?
John Floren: Again that’s an estimate of 1000 until you actually build one and complete it, you don’t know. And then what are people including, a lot of these announcements are just EPC and not including owners cost. We’ve had an organization of 100 plus employees in place for quite a lot in time that’s not cheap. There is obviously financing cost and capitalize interest, lot of different things going into a project, so when we give a number, it’s all in number. And then if you build a 1.7 million tonne oxygen base plant maybe you can get a bit lower than that $1,000 a tonne going in, but is it going to be efficient? Can you operate it effectively? We’ve seen in Trinidad as we have one of those and we’ve never been able to operate it consistently on a high efficient basis, so that impacts your economics longer terms. So I think the capital number is an estimate for us and can you do it less? Well good luck is what I would say. But we will only know when something is built.
Operator: Thank you. The next is form Steve Hansen from Raymond James. Please go ahead.
Steve Hansen - Raymond James: Yes, just a follow up John here on the topic of the buyback, it was about half of the buyback or the approved buyback now executed. Just hoping if you could provide some colors and thoughts made around, how you think about the buyback program going forward once the Geismar facilities or at least even the first Geismar facility is up and running. And timing around future buyback to rescheduling if you will?
John Floren: Nothing has really changed in our view on what are our uses for cash. So I will remind you we also have bought back shares all of October. Unfortunately we are in a blackout that we couldn't the change the daily number. So I think we will continue to look to complete that normal course issuer bid of 4.8 million shares. Beyond that the uses for cash are the same. We'd like to grow the company, beyond G2 it looks pretty difficult in the short term to have something to dedicate some capital to that. Dividend, meaningful, sustainable and growing and that's what we have done and then excess cash through buyback. So under a number of different pricing scenarios that you can run we are going to have quite a bit excess cash to be able to do all three and depending on it we have a project or not, we will have more cash to buy back shares. So at the current price I am really anxious to buy back shares.
Steve Hansen - Raymond James: Okay, fair enough. And just as a follow up maybe to I think the Chris's question early around modeling Geismar. If you really have to just take a stab at Geismar 1 with the gas contract in place and the existing methanol price in the Gulf under the new posted rates year for November. Is there a range for the cash cost that you can give us, that would give us sense for how that would look or even more precise number I suppose. We are just trying to get a handle for exactly how the cash cost is going to settle out here, once the [generator] comes?
John Floren: I think what we said, we are not going get into specific numbers plant by plant because there is a lot of confidentiality around things like gas contracts, et cetera. But the EBITDA generation is going to be similar to our existing portfolio so that's how I would look at it.
Steve Hansen - Raymond James: Okay, that's helpful thank you.
Operator: Thank you. [Operator Instructions]. And the next question is from Chris Shaw from Monness Crespi. Please go ahead.
Chris Shaw - Monness Crespi : Yes, hi good afternoon everyone -- good morning out there. A lot of ground has been covered but you mentioned before that your cost since the beginning to now have gone up on the Geismar plants 25% to 30%. Would that be a similar sort of rate of inflation you think for a Greenfield project over that time and is there anything different? The different parts of plant build that would be different between what you do in Greenfield that sort of either grown quicker or slower during that period? I’m just trying to gauge well how others that might be thinking about building these Greenfield projects?
John Floren: Sure. So I remind that the man hours that we put into these projects was a third was in Chile and two thirds is in Louisiana, because we'd hadn’t dissemble the plant. If you are talking a Greenfield or Brownfield in the Gulf in the U.S. all of the man hours would be U.S. man hours and I think I have communicated pretty clearly of what we see and what we have been experiencing and what expect to experience. The piece that we don't have a lot of transparency on today is the shops. All the project about 25%, 20%-25% is equipment, we did have the same need to by all of the equipment, so I don’t have a good feel for what's the line up in the shops, what’s the inflation in the shops. Can you even get compressors and vessels and heat exchangers in a reasonable time? So until we actually get more down the road of doing a feed on a U.S. or Canadian project we won't have that information.
Chris Shaw - Monness Crespi : Okay. And then just some of that is [indiscernible]. Is there any update on the getting longer term gas contracts for Geismer 2 and Medicine Hat?
John Floren : Well I think the lower the gas price, the more optimistic I am of getting a gas contract. What I would say the suppliers are probably showing a bit of wait and see attitude. We are not going to be consuming gas in G2 until sometime late 2016. So I think as a gas supplier I might want to see how the LNG exports develop and what happens in the gas market on a more general basis. How many of these 58 projects I mentioned actually go forward. So we are still optimistic and we are still working hard to get a gas contract for the second plan and we’re optimistic we will. And as soon as we have something we will communicate it. As far as Medicine Hat goes, the spot price is $3 bucks. I am not too motivated in the next few years to go out and get a gas contract. Having said that if we could get a gas contract for the second plant roll the first one into it, that's pretty attractive as well. So we are working on that. But [indiscernible] that's the $110 cash cost, I like that.
Operator: Thank you. And the last question is from Brand Lundy from Ivory Capital. Please go ahead.
Brand Lundy - Ivory Capital: All right. Thanks for taking the call. A quick follow up on Geismar. Just wanted to clarify how much of the productivity decline that you referenced is really an industry issue or compared to a site specific issue?
John Floren: Yes, I don't have the industry data but when we did the project we took the average of the last ten years and like we are experiencing 20% and that's an average in certain crafts it’s even worst. So this is an average of the whole project. So if you were to go a site like ours, what you would see is a labor force mainly made up of 20 to 29 year olds and then the bulk of the rest is 45 to 60, even older there is nothing in the middle and there is this big competitive environment down there for people like pipefitters, ENI guys and welders and that’s really were the bulk of these projects even started. So again, we ask other people IHS McKenzie to give us their view and the numbers I have seeing as its going to be a 30% shortage of these types of people -- even if a fraction of these plans go forward. So I again would not be wanting to be spending billions of dollars of capital in the 2016, ’17 period in the U.S. Gulf building project, that’s just me. Others may have a different view but that’s my view.
Brand Lundy - Ivory Capital:  And did you say that the productivity decline as compared to last 10 years is 20% or did I might have misheard?
John Floren: On average that’s right, on average. But there is some craft even worse.
Brand Lundy - Ivory Capital:  And then just…sorry go ahead.
John Floren: So therefore some are better. But when you look at on average all of the crafts we measure I don’t know 15 to 20 of them that’s what we see.
Brand Lundy - Ivory Capital:  And then just last quick question on the 300 million increase, I presume that’s mostly tied to G2 considering where you were in kind of the G1 finalization?
John Floren: Again I said for everybody here it's impossible to split out what’s G1 and what’s G2 on an accurate basis. So, obviously we built contingency in the D2 based on what we expect on labor and rates and productivity. Wouldn’t out a number out if I didn’t think I was pretty confident and achieving it with some good sized contingency.
Brand Lundy - Ivory Capital:  Understood. Thank you.
Operator:  Thank you. I would like to turn meeting back over to Mr. Floren.
John Floren: Okay, well thanks very much for all the questions and all the interest. So, demand is expected to remain solid in the fourth quarter of 2014, really buoyed by the increase of the MTO demand. We expect our production numbers to be higher in Q4 versus Q3 and prices to remain stable through the quarter leading to higher EBITDA in earnings per share in Q4 versus Q3. Thanks very much. Have a good day.
Operator:  Thank you. The conference has now ended. Please disconnect your lines at this time. And thank you for your participation.